Operator: Hello and welcome to the SES Q1 2025 Results. My name is Laura and I will be your coordinator for today's event. Please note this call is being recorded. [Operator Instructions] I will now hand you over to your host Christian Kern Head of Investor Relations to begin today's conference. Thank you.
Christian Kern: Thank you, Laura. Good morning everyone and thank you for joining us today. My name is Christian Kern, Head of Investor Relations and it is my pleasure to welcome you to the SES Q1 2025 results call on behalf of our management team. Before proceeding with the management presentation, we would like to inform you that the financial information contained in this document has been prepared under International Financial Reporting Standards. As usual this presentation may contain announcements that constitute forward-looking statements, which are no guarantees for future business performance and involve risks as well as uncertainties Also certain results may materially differ from those in these forward-looking statements due to several factors. We invite you to read the detailed disclaimer on Page 2 of the presentation which is also available on our company web page. Today I'm here and joined by our CEO, Adel Al-Saleh; and our CFO, Sandeep Jalan who will take you through this presentation followed by a Q&A session. Adel, with no further ado, over to you please.
Adel Al-Saleh: Great. Thank you, Christian. Good morning everybody. Starting with our Q1 highlights on Page number 3. We had a solid start to the year and are on track for our reaffirmed full year 2025 financial outlook underscoring that our evolved strategy is delivering positive operational and financial results. We continue to have commercial momentum across the business which demonstrates the growing demand for our differentiated solutions. The transformation and value-accretive Intelsat acquisition is progressing well and is anticipated to close in the early part of the second half of 2025. Looking at the financial highlights on Page number 4. As we expected, the first quarter of the year produced a solid set of results with revenue stable year-on-year reflecting strong operational execution led by the network growth of 8.4% year-on-year including some periodic revenue. Q1 2025 adjusted EBITDA was also in line with our expectation broadly stable year-on-year with a 55% margin including flow-through of periodic revenue impact and some shifts in cost as well as lower margin equipment sales to other quarters. This was supported by solid growth in networks and nearly 6% reduction in controllable operational expenses as we continue to transform and drive operational excellence throughout the business. In Q1 2025 we secured €360 million of renewals and new customer contracts. With the majority coming from our growth segments supporting our gross backlog of €4.5 billion. Our net leverage is at 1.2 times including €3.1 billion of cash and cash equivalents. On Page number 5, we continue to strengthen and build on existing and new partnerships in our chosen markets and seeing increased demand for our differentiated offering. We're proud to be a trusted partner in the government sector where we're starting to see increased demand from the recent changes in the geopolitical landscape. This is for example demonstrated by key contracts like the €200 million NATO MGS contract the U.S. European Command blank purchase agreement and the IRIS2 contract award. On the MGS contract which you've heard from before we're proud to have had The Netherlands joining the MGS agreement. The addition of The Netherlands reflects the growing strength of our partnership with NATO. With O3b mPOWERED low latency guaranteed SLAs flexibility and security, we're proud to begin delivering connectivity to the MGS founding nations and new members under the NSPA agreements. These agreements enhance secure resilient and high-performance connectivity for NATO members and U.S.-European Command, while expanding our global MEO offering. Our strategic wins underscore our commitment to delivering innovative solutions and driving growth in the government business. With Irish Square, we are well poised for the future of connectivity. In April, we successfully completed the kickoff phase of the EU's Irish Square program, reinforcing our leadership in providing sovereign, secure European connectivity from space. In Q1 2025, we are proud that another airline Uzbekistan Airways selected our open orbit offering, through our participating partners. Uzbekistan Airways will integrate the SES Open Orbit network and its in-flight connectivity. In addition, Thai Airways plans to expand its use of SES Open Orbits, on its future aircraft. Wins like this, are driving our future growth in aviation, where our ability to deliver managed multi-orbit solutions is a source of strength anchoring our right-to-win in this competitive segment. Our continued success in maritime driven by sustained demand from new builds from our customers like MSC, Princess, Virgin and others, showcases our strong positioning in the ocean ship segment. This is thanks to our end-to-end multi-orbit service, with managed meal-based networks as a cornerstone of their passenger connectivity experience. In fixed data, we're setting up our differentiated capabilities for future growth with innovative partnerships such as the Lynk Global, in direct-to-device which will allow SES's customer to benefit from a broader range of applications including remote access mission-critical first responder and secure government communications offshore and automotive connectivity. And in Media, we're proud to have signed up ATP, a major sports media organization. SES' centralized platform will allow ATP Media's broadcast partners to easily procure, encrypt and customize their content for the local distribution. This partnership will enable one billion global fans, to be watching over 3,000 tennis matches in the coming year. This quarter, we have also signed Mileto in Brazil a contract which overtime has the potential to grow and mitigate some of the capacity revenue lost to a customer bankruptcy as announced last year. These wins demonstrate the sustained relevance of our satellite offering for Media applications. Moving on to the Vertical Performance, starting with our Networks business on Page number 6, where we have demonstrated our ability to win with our multi-orbit solutions. Let's start with the Government business which is showing strong growth, up by more than 13% year-on-year driven by expansion in both the U.S. and global government businesses. Our Mobility business is almost 9% year-on-year with double-digit growth in aviation, and complemented by growth in maritime including periodic revenue related to a contract modification of €19 million for Q1 2025 and a €22 million recognized in Q1 2024, which we announced before. Mobility excluding this periodic effect showed a strong performance of 18% growth year-on-year. Due to continued capacity constraints of our O3b mPOWER fleet and the competitive nature of the segment, our fixed data business is down 2% year-on-year performing to our expectations as the trend begins to improve. As we increase our available capacity on the mPOWER constellation, we expect fixed data to continue to improve throughout the year. Finally, Network Trust backlog stands at €2.5 billion, having secured €276 million of new business and renewals this quarter with a strong U.S. and global government pipeline. Our gross backlog and pipeline are supporting our forecast and future growth demonstrating that our strategy and our multi-orbit solutions are critical components of market requirements. Moving on to Page number 7 and our high cash generated media business. As expected the media business continued to decline by minus 10.6% year-on-year in first quarter. On the back of lower revenue in mature markets, due to capacity optimization and the impact of SD channel switch offs as well as the impact of the Brazilian customer bankruptcy. We have secured €84 million of renewals and new agreements, underscoring the significant cash flow generation of our video business and contributing to our gross backlog of €2 billion serving 362 million homes across the world. The revenue and operational performance reflect the robust fundamentals of this business and solid customer demand. We continue expanding our services to a comprehensive approach in the media service market by combining our traditional capacity business with added ground services and managing more of the distribution chain to reduce complexity for our customers. Moving on to page number 8. And the deployment of our O3b mPOWER constellation which will support our revenue growth as we try to keep up with the demand. As you know, 2024 was a very important landmark year for our mPOWER MEO constellation where it entered commercial services. We're proud to say that, O3b mPOWER deployment remains on track with Satellite 7 and 8 having reached their final orbital position and have been fully tested. They will enter commercial operations beginning of May which is in just a few days. This set of service of Satellite 7 and 8 is expecting is expanding the capacity and resilience of the constellation and bringing much needed capacity where we see more demand than what we can serve today. Satellites 9 to 11 will follow with the summer launch and will increase our capacity even further from the beginning of 2026. The final O3b mPOWER satellites which is 12 and 13 will be launched in 2026. Overall, this represents a threefold capacity increase compared to today when the constellation is fully operational in 2027 and will accelerate revenue ramp-up of our MEO constellation. In 2027 we will manage a robust constellation of seven fully operational satellites complemented by the initial six satellites. The scalability of our MEO network allows us to regularly add satellites incrementally, ensuring capacity growth aligns with customer demand while maintaining a balanced supply-demand ratio in a CapEx-efficient manner. Each new satellite enhances the constellation, boosting overall capacity and network efficiency to support long-term profitable growth. IRIS2 is strategically timed to commence services by 2030 coinciding with mPOWER's steady-state operations. Together they will meet growing demand well into the next decade. Additionally IRIS2 will expand coverage beyond mPOWER's reach today unlocking new opportunities for MEO-based services in previously inaccessible regions including seamless poll-to-poll coverage. On page number 9, I would like to talk about our differentiator our integrated holistic multi-orbit network. At SES, our integrated multi-orbit architecture is not just a technical jargon or technical achievement. It is a strategic advantage that delivers advanced performance, global reach, and future-ready flexibility for our customers. We leverage full ownership economics in GEO and MEO, combined with strategic partnerships in LEO and our vast ground network and terminals portfolio to provide high availability and match resilience, network density, and seamless interoperability across orbits. With complete control over our assets on the ground in geostationary and medium earth orbits, we ensure secure, scalable, bandwidth and optimized cost structures essential for mission-critical and high-throughput applications. Through key alliances and partnerships in LEO, we extend our reach and enhance agility in our services portfolio without the significant capital expenditure of owning a LEO infrastructure. By securing access to a GEO, MEO and LEO orbital architecture in space, we are integrated with a pervasive and robust global ground network, combined with an intelligent digital layer of networking software, this allows our customers superior ingress and egress, bandwidth latency coverage density security and reach. When this network is finally accessed via a diverse portfolio of end-user terminals, which are optimized for our government, maritime, aviation and fixed data customers we are delivering a unique and enhanced connectivity experience for them. Our multi-orbit network is designed for what matters most, performance without compromise, whether for governments, mobility or fixed data. We're enhancing our service offerings including smart routing, dynamic traffic steering, quality of experience, management and preparing for 5G end-to-end seamless connectivity. With Irish Square, our area of coverage will expand to a global full poll-to-poll coverage, provide resilience with multiple satellites in view and more importantly drive user terminal small form factors for any easy install with meeting customer use case's needs, ensuring customer remains connected, wherever, whenever and however they need. On Page number 10, an update on our transformational agreement to acquire Intelsat. On the regulatory front, we continue to make good progress with smaller regulatory clearances completed, including Brazil. Remaining clearances are progressing as well and we continue working with major administration and regulatory bodies. That includes FCC, Department of Justice in the United States, European Commission and CMA in the UK, as well as close with this process as quickly as possible. We also made an F-4 filing with the SEC last week, which is public as of yesterday, including pro forma financials for the combined company for financial year 2024 and an indicative IFRS valuation of the CDRs to be attributed to Intelsat shareholders in the context of potential additional C-band clearing. This has been required to meet SEC registration requirements and does not in any way suggest the actual outcome of a process or any proceeds for the clearing of the upper C-band as ordered by the SEC. Sandeep will explain a lot more on this topic in a few minutes. Closing on the acquisition remains on track to complete during second half 2025, with detailed planning for synergies ready to be executed and all financial objectives for the combined company reaffirmed. Given how well we are progressing, we could be looking to close the acquisition in the earlier part of second half 2025 rather than later. Moreover, SES submitted its comments to the FCC's draft notice of inquiry proposal, what's called NOI for further C-band clearances yesterday on 29th of April. Reply comments are due in 30 days. FCC's objective continues to be to move fast in clearing additional C-band spectrum and SES is working closely with the FCC to meet its objectives of finding more intensive uses for the spectrum, while protecting incumbent users both in-band and in adjacent bands. SES welcomes the opportunity to work with the stakeholders to ensure a successful outcome that protects incumbent services, while advancing the rollout of newer technologies and will continue cooperating with the FCC to support their objective, while ensuring best outcome for our clients in North America and for us as well. Moving to Page 11. I would like to reiterate the combined company growth outlook and the value accretion of this transaction. The combined company will be strategically positioned to offer comprehensive end-to-end solutions in high-value high-growth markets. This integration will establish a strong competitor with a financial capability to invest in future opportunities, maintaining our investment-grade metrics and delivering attractive returns to our shareholders, creating a stronger, more competitive multi-orbit operator with an improved financial position and cash generation profile. Intelsat transaction is highly synergistic. We continue to make great progress on the integration plan, which has been validated by both teams from both companies to deliver conviction case synergies of €2.4 billion NPV and the execution timetable of 70% of these synergies by the end of the third year with an opportunity to accelerate our time line from day one closing. With over $8 billion of combined gross backlog, 60% of the combined revenue to be in the growing network segment, driving top-line expansion and strengthening our position as a top-tier player. The combined company is on track to grow adjusted free cash flow to over $1 billion before IRIS2 by 2027, 2028 and delivering significant value for our shareholders. With that I'll hand over to Sandeep to take you through the financial highlights.
Sandeep Jalan: Thanks, Adel. Good morning, everyone. We are very pleased with our quarter one financial performance, which once again demonstrates our disciplined execution with stable revenues and broadly stable adjusted EBITDA, which is in line with our outlook for 2025. Both revenues and EBITDA showed underlying growth when excluding the periodic revenues both in quarter one of this year as well as in quarter one of last year. Starting with the income statement on Page 13. Adjusted EBITDA of €280 million was down year-on-year by about 0.9%, which is in line with our expectations to stabilize results. The adjusted EBITDA margin was robust at 55% and this is mainly due to continued growth in our network business including a periodic impact from a contract modification which amounted to €90 million for quarter one 2025 compared to €22 million for quarter one of last year. Also there were some impacts from shifts in cost as well as shift in sales of lower-margin equipment to the next quarters of 2025. We expect some costs for the next three quarters to execute equipment and service heavy revenues with mPOWER Satellite seven and eight also coming into service and ramping. We reiterate our adjusted EBITDA guidance of broadly stable for the full year 2025 with an implied margin being in the range of 50% 51%. Total OpEx including the cost of sales was stable year-on-year. Cost of sales increased in line with the network revenue increase, while it was fully offset by continued drive on cost efficiency actions, which resulted in extended savings in controllable OpEx by about 6% reduction year-over-year. Adjusted net profit was €42 million, a reduction versus the prior year. It reflects the higher depreciation and amortization expense as well as higher net interest costs, partly offset by lower net income tax expense. The increase in depreciation and amortization arises primarily from Empower depreciation from getting in service and a change in accounting policy to treat our indefinite life intangibles as definite life amortizable intangibles as already flagged in August last year. Higher interest costs primarily arose from the reduced interest rates for interest income on surplus cash and cash equivalents. Finally the difference between adjusted and reported net profit is explained by significant special items, which includes €19 million of other non-recurring expenses, which relate to restructuring costs as well as the M&A costs and other significant special items about the net financing costs once again pertaining to the M&A transaction. These were partly offset by €1 million other income and €5 million of related net income tax benefits. Turning to our financial position and balance sheet metrics on Page 14. We continue to hold a strong financial position. Adjusted free cash flow for quarter one was negative €51 million, primarily due to CapEx phasing being front-loaded this year due to Empower satellites and our other satellite programs. Our CapEx cash outflows are not linear and are dependent on project milestones. And as such, we are reiterating our full year CapEx guidance, which is between €425 million to €475 million for the full year 2025. In terms of the adjusted free cash flow, we have generated €684 million in the last two years. The final full year 2024 interim dividend of €0.25 per A share was paid to shareholders on 17th of April. This takes our total shareholder returns since 2021 now to €1.3 billion, which is over 100% of adjusted free cash flow for the last four years and it continues to remain a sector-leading shareholder returns. Our investment-grade balance sheet continues to be industry-leading with net leverage of 1.2 times, as of 31st March, 2025 including €3.1 billion of cash and cash equivalents, which exclude the €295 million cash advance received from the European Commission as the RS II consortium lead towards this program, which we hold as a restricted cash. We have made also excellent progress on the C-band reimbursement. We have received a further $70 million during quarter one of this year, and we expect remaining $24 million to be received in the next quarter, which is quarter two. We have also made some progress on the insurance claim for O3b mPOWER satellites, one to four with some initial settlements already closed, with cumulative $58 million having been settled to date. We expect this cash to be collected during quarter two. The negotiations are accelerating also with other insurers. And as it develops, we'll provide more updates during the coming quarters. The highly accretive Intelsat acquisition is on track to close as I said earlier in early part of the second half of this year, and the financing for this transaction as well is fully secured. Hence, SES now intends to optimize the debt structure of the combined entity as well. As such, SES intends to redeem in aggregate approximately $2 billion of the 6.5%, first lien senior secured notes which are due 2030, which were issued by Intelsat Jackson Holdings on or before closing of the transaction, through a closing redemption of the part of the SSN in accordance with the terms thereof and prior to closing conducting some open market purchases of these outstanding senior secured notes. The combined company is expected to generate growing levels of adjusted free cash flow including from ramp-up of significant synergies, and have a strong growth outlook with sufficient liquidity to cover upcoming maturities, post the transaction closing. As Adel already mentioned, we have submitted the F4 filing to the SEC in relation to the registration of the contingent value rights instruments. This is now public and includes pro forma condensed financial information of the combined company for full year 2024, including a translation of US GAAP reported results from Intelsat to IFRS accounting standards and alignment of Intelsat accounting policies to SES accounting policies, and also details of intercompany elimination as well as IFRS valuation of the CVRs. The IFRS value of the CVRs and the F4 filing only represents the net present value of a contingent liability based on 42.5% of the net clearing proceeds, which will become payable to Intelsat shareholders towards the first megahertz cleared in the event of a monetization event. This is further discounted by the probabilities of the underlying uncertainties. The IFRS valuation of the liability of the CVR, is not necessarily indicative of the amount of the future proceeds that the CVR holders or SES' may or may not actually receive for clearing the applicable spectrum, if the FCC decides to repurpose some portion of the C-band spectrum.
Adel Al-Saleh: And Sandeep you said, 100 megahertz, right? That's the first 100 megahertz.
Sandeep Jalan: It's only the first megahertz where the CVR holders are entitled. It's also important to mention that SES shareholders will continue to benefit from the remaining 57.5% of the first 100 megahertz as well as 100% of any further tiering of the second 100 megahertz. We have compiled a list of frequently asked questions, in relation to this F-4 filing, which you can find on public domains, and we have also published on our company website to provide more clarity to our investors and to analysts. On 3rd of April, SES had held its AGM and all company recommended resolutions were approved, including our intention to increase the annual base dividend and prioritize the majority of any exceptional cash flows of the combined company towards shareholder returns, as SES meets its net leverage targets of below 3 times within 12 to 18 months after closing the Intelsat transaction. Lastly, moving to the financial outlook on Page 15. Our quarter one performance shows a solid start to the year, and we are on track to meet our full year financial outlook. Hence, we reaffirm our guidance for full year, expecting group revenue to stable year-on-year on the back of strong network growth in 2025, compared to 2024. This will offset media declines, which we expect to be above our medium-term outlook of mid single-digit average decline due to two elements; first about 5% point from the Brazilian customer bankruptcy already flagged last year; and second, the impact of SD TV channels having now been switched off in Europe and the UK reflecting the full impact in this year results as the customer now transition to SD channels. We expect the media trajectory to improve from 2026 onwards. 2025 adjusted EBITDA is expected to be broadly stable year-on-year on the back of a better than expected outturn in 2024 as we surpassed our 2024 outlook by almost €30 million. When excluding the impact of Brazilian customer bankruptcy in 2025, we would have expected year-on-year growth on both revenue, as well as EBITDA. We expect to deliver in 2025 a second full year of stable revenues and adjusted EBITDA despite this effect in Brazil, positioning us for sustained growth beyond 2025. CapEx in quarter one was €216 million, showing that this year our CapEx is front loaded as I previously mentioned and we are also reiterating our 2025 CapEx outlook, which is in the range of €425 million to €475 million and we expect an average of €325 million for the subsequent years 2026 to 2029 when excluding the IRIS2 CapEx. IRIS2 CapEx phasing as we have announced earlier is expected to be back loaded with most of the CapEx to ramp from year 2027 onwards and it will translate into an average annual CapEx spend of about €400 million over 2027 to 2030. We will announce the exact phasing of IRIS2 program, once the program cost estimate and the time schedule gets finalized towards the end of this year with the first kickoff phase now behind us. Now I hand back to Adel for his closing remarks.
Adel Al-Saleh: Thank you, Sandeep. On page 17, I'd like to reaffirm the positive impact of our evolved and differentiated strategy. Our solid financial performance in Q1 2025 reflects the impact of our transformational strategy, focused on building a more efficient, agile, operating model that accelerates execution and drives profitability efficiency and cash flow generation as can be seen from the reduction of OpEx excluding cost of goods sold. OpEx reduced as already said in Q1 by about 6%. And if you remember last year, it was reduced 9% for the full year. We continue to see rising demand for advanced multi-orbit connectivity solutions that reduce complexity for our customers. Customer requirements are clearly bifurcating, while standard commoditized solutions face intense competition, SES is positioned to lead in delivering high-value, managed multi-orbit services where performance, reliability and support matters the most. This is reflected in our commercial momentum with €360 million in new contract wins across target segments this quarter, adding to our €4.5 billion gross backlog. Furthermore, our combined expansion of mPower with satellites 7 and 8 starting to service as from May and satellites 9 through 11, which will be launched in the summer and our investment in innovative technologies, services and projects such as IRIS2 ensure our versatile solutions remain at the forefront of evolving customer needs. SES is well-positioned for long-term sustainable growth with a differentiated future-ready network and a clear path to value creation in a more competitive and innovation-driven environment. Finally on page number 18, our ambition remains to position ourselves as an industry leader in a valuable, fast growing SATCOM industry. We continue to focus on customer centricity, delivering the highest value for governments and our clients in our chosen markets. With laser focus on strong execution, operational excellence and SES' key strategic priorities, we'll continue to further grow in government and mobility, which we expect will drive network acceleration, showing sustainable, profitable growth for future investments and total shareholder return. We will continue investing in developing our differentiated solutions enhancing our capabilities efficiency and productivity with our mPOWER satellites, projects like the Link direct-to-device, open orbits and key projects such as sovereign secure connectivity for US government and European governments through MGS and IRIS2. As mentioned, we'll continue to cooperate with the FCC on the C-band and support their objective while ensuring the best outcome for our clients in North America and for us as well. With enhanced scale, financial strength and a broader solution set, we're well positioned to be one of the top players in this expanding industry with an important differentiating ability to generate over €1 billion in free cash flows by 2027/2028. Our commitment to strategic iterative investment will continue to reinforce our industry-leading balance sheet and strengthen our capabilities and will continue to be a great place to work for our employees who are our most valuable assets. And with that, Christian, I give it back to you for Q&A.
Christian Kern: Thank you, Adel, and thank you, Sandeep. And Laura, we are ready for the Q&A. If you would be kind to register questions?
Operator: Thank you. [Operator Instructions] We'll now take our first question from Halima Elyas of Goldman Sachs. Your line is open. Please go ahead.
Halima Elyas: Thank you, and good morning, everyone. I have two questions please. Firstly, can you help us frame the potential opportunity available to SES as a result of the sharp rise in European defense budgets that we've seen over the quarter? Have you been involved in any discussions with policymakers so far? And can you offer any color on the scale and the potential time line over which this could materialize? And then secondly, your first quarter results were once again supported by strong cost control. How much scope do you have to continue capturing these cost efficiencies? And should we expect to see any margin dilution through the year as equipment revenues take a greater share within the overall mix after the service launch of mPOWER Satellite 7 and 8? Thank you very much.
Adel Al-Saleh: Okay. Thank you, Halima. Let me tackle the questions, and then Sandeep please help me with the -- especially on the back end on the cost control and the margin. We clearly see increased demand in Europe across all the nations in the European Union around their defense spend. You read it in the news. You've seen all the nations bolstering their future investments. All of these budgets are coming together as we speak. And we expect to see increased demand in mid-term and long-term. It takes a little bit of time for them to finalize their budgets, decide exactly what they want to do. I mean one of the things I would point you to yesterday, there was a real -- there were two very interesting articles that were published. One of them was by the Ministry of Defense in Germany, which actually highlighted their space architecture, which again reaffirmed our view of the criticality of multi-orbit. They specifically talked about having a GEO, MEO and a LEO architecture, supported not only by government-owned infrastructure but also in partnership with commercial players. And we've seen that with Space Force in the US over the last several years. And there are other nations that are doing exactly that. So we expect demand to grow as they start putting these budgets to work. Tactically, we also see the demand growing, right? So you've seen our business in government growing 13% in double-digit growth but we're on both sides of the Atlantic. So it demonstrates that the demand there is quite robust and sustainable over a foreseeable future. But let's see where the budgets finally get into effect and when they put them -- deploy them into specific programs. And that's why I say mid-term to long-term we'll see a good boost from that. Look, your second question on cost control, I mean this is a real critical element of our strategy, which is the transformation piece. We believe there is quite some room for us to execute our cost initiatives, making us leaner, making us more efficient faster, et cetera. Also the combination between – with SES and Intelsat, gives us a significant opportunity, clearly through the synergies but also to continue to take cost actions in the future. So this is sustainable, right? There will be peaks and valleys, right as we execute. Of course as we continue to progress, the year-on-year dynamics become different, right because we put a lot of the stuff in our base. And for us it's critical to balance both investment and cost controls, right? So as you know we're investing in IRIS2, which requires people and requires upfront R&D work. At the same time we're ensuring that the rest of the business is highly efficient, so we can afford those investments right going forward. So that's the philosophy. It's a philosophy we have in this company. It's a clear pillar of our strategy. And therefore we expect it to continue to advance. And on the margins and the yearly skew.
Sandeep Jalan: Yes. So, Helima just giving you a little bit more flavor in addition to what Adel mentioned on the margins and the costs. On the cost we are putting a lot of focus to take out the discretionary cost, right? And there we had a reduction almost 8% year-over-year right on our discretionary cost when you exclude the cost of sales, which by the way will continue to rise right as we transition more from media revenue to the network revenues. But on discretionary costs in quarter one, we see about 6% reduction on top of the 8% reduction that we saw last year. We will see continued reduction this year as well right in our costs and programs. And this should further accelerate once the Intelsat combination takes place during second half of the year that should further accelerate our pace of cost reduction. Now in front of that, clearly there is a shift in our revenue mix. Our revenue mix is shifting also from media decline as we have said in about double-digit percentage this year offset by growth in mPower revenues, which is also bringing some of the satellites ramp up including mPower satellites. So that provides us a nice profile to be able to fully offset the impact of media revenue and margin decline with the growth in mPower revenues and our network business as well as the discretionary cost reduction and this should all accelerate with the Intelsat integration. So on the overall, as you can see that we had a robust margin last year of about 51%. This year again, we are reaffirming, despite all these effects once again a margin which is very similar to last year. So we are quite pleased that all these efforts are starting to reflect in our bottom line and in cash flows. Thank you.
Adel Al-Saleh: Operator, next question, please.
Operator: Yes. Thank you. We'll now take our next question from Aleksander Peterc of Bernstein. Your line is open. Please go ahead.
Aleksander Peterc: Yes. Good morning and thank you for taking my questions. I have three if I may. So the first one is on the potential upper C-band disposal. Do you have any updated views that you could share on the amount of spectrum that could be offered? Could you relocate entirely out of this band? Is that practically possible if you have any visibility on this? And do you have a view on what should be the guard band vis-à-vis aviation radar or meter equipment that is in the adjacent band at 4.2 to 4.4 gigahertz. That will be the first one. The second one on media, you mentioned last year efforts to mitigate the impact of the Brazilian bankruptcy. Do you have more color on this? And how should we think on the trajectory of media throughout the current year? And then lastly, when will you have capacity on MEO to serve your fixed data customers better so that this vertical can return to growth? And will we then see an impact on your margins because this is obviously a less profitable segment? Thank you very much.
Adel Al-Saleh: Very good. Aleksander, thank you for the three questions. Again, let me start and then Sandeep will complement me. Look on the C-band, you have to follow the FCC strategy, right? I mean they are – they've declared that they would like to clear as much as they can. Now they need to go through the process of consultation and understanding the dynamics and so on. And there's a lot – as you know, we have a lot of experience in this, right? We've cleared 300 megahertz of C-band over the last five years, right when we started the work with FCC and had to relocate our customers and repack them. The technologies are evolving right? The compression technologies, the usage and efficiency of satellite is evolving. Customers are also looking at combination of different mediums to deliver content and so on. So there is clearly an opportunity to clear C-band in North America. How much is still to be determined not only by the technical possibility, but also by FCC's strategy and their decision. That's going to drive it. Technically we can see -- if we work very closely with FCC we can see a path of clearing the 100 megahertz which is the -- could be the first phase quiet efficiently, right? And I would direct you to read our response to the notice of inquiry which lays out our thinking. Clearing the rest is possible but it requires more work. It requires more technical work and it will require also us working with our clients because our key objective is to protect our clients, to protect our services as well because that continues to be an important vehicle for them to distribute content to tens of millions of households in the United States. So we need to find a solution and we believe there are solutions to be able to do it. So it's just that it requires a little bit more work. Now regarding off guard bands right as you know there's already a 20-megahertz guard band today that was set up for the radio altimeters. We believe that that guard band will need to be there right to be the protection from the 4.2 up to the 4.4 where the radio altimeters reside, right? So which means that whatever we do we need to create that guard band. And by the way the FAA needs to be very active in involving their involvement and how to actually clear it and how to upgrade the planes and how to make sure that the radio altimeters have the latest technology. So there's a lot of work which is why FCC of course is going through their process. And as I said earlier in my comments, we are working very closely with them. We understand their objectives and we want to create a win-win-win, right? Win for the FCC, win for our clients and win for us as well, right? And that's possible because that's what FCC did actually in the first clearing. Look regarding your second question on media mitigation, I mean, we've done that. I mean a year ago we told you look this was very painful that we have losing a customer due to a bankruptcy procedure. But we committed to all of you to the market to our shareholders that we will mitigate that not necessarily in the media line, but in the total company right? So everybody forecasted when we announced the initial bankruptcy that 2025 will not be a stable year. It will be a declining year. And we have emphasized that we will do the work both on the cost side as we can demonstrate to you to 2024 and our first quarter and our focus for the balance of the year as well as the top-line accelerating growth in other segments and as well as protecting and renewing some of the contracts in media to get a stable business despite this quite significant impact that we have to manage. So in our opinion we have done that both on top-line and the bottom-line. And regarding your last question around capacity. Look we're fortunate and we've got to keep knocking on wood and keeping our fingers crossed. We've got a very good cadence in front of us on launching the future satellites with each satellite increase launch we're able to reconfigure the constellation to increase capacity. So from May we will be increasing capacity by almost 30% to the constellation this year. So we'll start seeing this year an increase in capacity for our -- not only our fixed data but for all of the segments. They all have to compete for it, right? Because at the end of the day we go for the best possible outcome for us as a company for the -- for our shareholders not just in short-term, but actually mid-term and long-term. So it's not a given that every capacity that we generate increment goes to fixed data, right? It has to be the right deals and the right kind of construct for us. With the next wave of satellites 9, 10 and 11 that are launching in the summer by the beginning of 2026 we have another big step-up in capacity, right? And it will give us additional confidence to further reconfigure and put more power through the satellites for the constellation to create more capacity. So beginning of 2026 we will have a significant step-up in the capacity. And then finally as we launched the last two satellites in 2026, in the first half of 2026, by the beginning of 2027, in first half of 2027, we'll have another further step of the capacity. And it will allow us assuming we're successful in all the launches and all the satellites are nominal we will be able to think about even more aggressive configurations of our constellation to give more power and more capacity to our segments. So there are steps that are in front of us that we're going to be seeing gradual step-up in 2025, in 2026, and in 2027 that will give more capacity, usable capacity to both fixed data, but also to our government customers, our maritime customers, as well as our air customers who are now beginning to test our MEO constellations in the planes. And they really like that multi-orbit capability on the planes. So hopefully I've answered the question.
Sandeep Jalan : Just to add to that from a quantitative perspective, Aleksander, as I said right 2025 is a bumpy year so far as media revenues are concerned. It just comes from that Brazilian bankruptcy situation. We are very happy that we are able to fully offset that right by driving higher growth in network and network business you see that we are having 8.4% growth in quarter one, as well as for the full year we are expecting a high single-digit percentage growth right? That will fully offset that impact as well as we are taking actions on the reduction in the discretionary costs which should continue to have and at least stabilize the margin. A very important dynamic in our revenue mix is that the declining part of the business which is media right used to be about 60% four years back in year 2021 media was 60% of our business and network was 40%. This has flipped. When you take a look at quarter one media is now 40% and the growing part of our business which is network that is 60%. So, as we move forward from this point on every percentage of growth that we are able to drive in our network business and coming from these new mPOWER satellites and the further capacity that we are getting unlocked as Adel just explained, this should just present a good dynamics to set us for sustainable growth in the subsequent years right? In 2025, again, it's a bumpy year for media, but we are able to fully offset the impact in both revenue and EBITDA and that's our endeavor for this year and we are fully on track on that. Thank you.
Adel Al-Saleh: Thank you,. Aleksander.
Aleksander Peterc: Thank you, both.
Adel Al-Saleh: Next question, please.
Operator: Thank you. We'll now take our next question from Nick Dempsey of Barclays. Your line is open. Please go ahead.
Nick Dempsey : Hi. Good morning guys. So, first of all, when setting the amount for the CVRs in that F-4 filing, I understand this is an NPV figure. You're factoring some risks into that. We can't really see that. But what was the kind of starting point for that calculation? Because it looks like it's probably lower than just using what you achieved last time on a run rate basis. Second question last year you had the periodic boost in mobility in Q1, but then that seemed to have a negative effect on organic revenue growth in the following couple of quarters as you start to benefit from one customer into periodic and that was then balanced out by negatives from other customers I think is how it worked. Should we expect some kind of similar pattern to that? Or is this different this year? And then the third question just on the SD channel switch offs. Can you give us a bit more color on the timing of that particularly is this just a negative one-off factor in 2025? Or could it spill into 2026 and therefore we should expect a higher decline than you expect going forward in '26 for video?
Adel B. Al-Saleh: Sandeep, why don't you take the first two right and then I'll take.
Sandeep Jalan: So, Nick, just explaining a little bit on the CVR, right? So it's an important topic. There is more details provided in our FAQ as well as F-4 that you can refer for any details right regarding the valuation. But let me tee up right the key elements, right? First of all, why do we value the CVRs? It is due to the IFRS requirements as a part of the acquisition accounting we are supposed to factor that in the pro forma results, which we have, right? So we have recorded a contingent liability which is payable to the CVR holders only when that successful event happens and cash is realized. In that event 42.5% of that net proceeds is payable to these holders, right? And it is payable only once the cash is realized. So that's very, very important. The remaining 57.5% of the first 100 megahertz and the 100% of the next 100-megahertz is fully for the benefit of SES shareholders, but it doesn't appear in that pro forma. It's not required by the IFRS valuation rules. Now coming to the valuation, right? The valuation that we have put together, it follows IFRS parameters, right? It certainly puts a reference to the past valuation, but also it factors in certain uncertainties associated with the process which is still evolving, right? We are in NOI stage. And as these uncertainties get clarified in the next stages, these amounts will continue to evolve. Second element in the valuation is clearly the time value of money, right? So we have taken a net present value that means discounted over X years of successful clearing for the first 100-megahertz. So today this value that we have put together it takes into account several uncertainties, several probabilities, time value of money. For all practical purposes the most reliable reference that exists today is the most recent precedent for the 200-megahertz clearing which resulted in about $8.8 billion gross accelerated relocation incentives for SES and Intelsat combined. And as this process continues to evolve with SEC, there will be more clarity emerging and these amounts may be more volatile right depending upon those uncertainties, how they evolve and then the time value of the money and the time line of the clearing. So we'll provide further clarity as it emerges right?
Adel Al-Saleh: And Sandeep, let me just add to that. So Nick look, you asked the question of what do you think is the starting point for all of this, right? There is a starting point. I mean, I'd rather not talk about it but there are so many steps following the IFRS rules that kind of adjust the values, which is why we're being very clear that this should not be taken as the representative of where it's going to be. There are a lot of variables in between. The biggest variable by the way is FCC. What does FCC want to do, right, which is not for us to predict right or speculate on it and so on. But there is very important precedent in the market. It's actually the only valuable and the only real data point. And that is what happened last time and what was paid last time. And to me, that is the most important data point that market has, right? So let's leave it at that rather than and by the way Christian can give you a lot more color one-on-one and walk you through kind of how did it work how the mechanics work if you will. Second on periodic revenue, Sandeep on whether or not it will have impact on the rest of the year.
Sandeep Jalan: Yeah. So on periodic revenue, it's very important to reiterate, right? This was part of our guidance. It is not something which is just a surprise to us. It is very much part of our customer existing contracts that we were expecting to benefit from the revenues in this year. So it doesn't change anything whatsoever in our expectations for the full year. It's just the timing that appeared in quarter one from again, coming from accounting specificities by virtue of which we recorded these revenues in quarter one 2025 similar to what we did last year. So our intent and our goal remains to stabilize our revenues and our EBITDA for the rest of the year and we are fully on track.
Adel Al-Saleh: So I mean the result you can do the math, right? So our outlook remains the way we describe, right? And that will continue to be what we deliver, which means if you look at our numbers today and you look at how it's going to evolve by quarter, we should not have adverse effects by quarter, we'll actually expect to be improving as we go forward. Your last question on SD channel, switch off whether it's a one-off or something. Look this is not news to us, right? Because actually the decisions of SD channel switch-off happened several years ago during our contract renewal discussions with our customers. And many customers carried SD and HD channels in parallel for several years, as the customers the end customers began to upgrade their TV sets, right and to be able to actually accept and watch HD channels overall. So this was coming. It was a milestone in front of us and it's a big step down, and it just happens to all align all these contracts in 2025. There will be some SD channels left in the future, but their impact of switch offs which will continue will not be as impactful as it is in this year. So we expect after 2025, we get back to our strategic forecast of media which is being declining mid-single digit consistently over the future, right? And our contracts that we already have secured through 2030, even beyond some of them, demonstrate that, right? So, that's the answer to that particular question.
Christian Kern: And all if I may add, Adel, all embedded in our full year 2025 guidance, Nick. There is nothing unexpected around this. Does that answer your question?
Q – Nick Dempsey: That’s great. Thank you, guys.
Christian Kern: Thank you, Nick. Let’s move on to the next question, Laura.
Operator: We will take our next question from Roshan Ranjit of Deutsche Bank. Your line is open. Please go ahead.
Q – Roshan Ranjit: Great. Good morning, everyone. I've got three questions, please. Going back to one of the previous ones around the increase of capacity, Adel you said that's going to be a 30% increase in May from mPower seven and eight. Is it fair to assume the bulk of that incremental capacity has already been kind of contracted? You've talked up the appetite for government contracts. So essentially the utilization rate on those two satellites near 100%. Is that fair to assume? Secondly, IRIS2 you said, we're getting into a kind of kickoff phase now, that the formalities were done at the end of last year. I've seen recent press talk about some countries, looking to potentially pursue alternative single country networks. How would that fit in with IRIS2? Is that something that could run in parallel? Or are they maybe wavering a bit on the IRIS2 participation? And lastly, thank you for providing the pro forma numbers. Just on a quick scan, something that stands out is the lease liabilities at Intelsat. And I see that as a percentage of the net debt, it's materially higher than what is at SES. Is that as a function of the third-party capacity that Intelsat leases? Or is there anything else going on? If that is the case, is that a big driver of the -- I guess OpEx saving as they move from third-party capacity onto your own capacity? Thank you.
Adel Al-Saleh: Very good. Thank you, Roshan. So let me start, and then Sandeep will tackle the last question. Look the increase of capacity that's coming in like 30% that I mentioned. Remember Roshan, it's not the two satellites. It's the network, right? So as we add these 100% healthy satellites, we're increasing the capacity of the network. mPOWER is not single satellite connectivity. It's a network connectivity, right? Those satellites are all connected. They all talk to each other. They all carry traffic, as they move around the world, traffic gets switched between different satellites. So as the ships, or planes travel, beams get switched between the different satellites to continue the service of these clients. Look, for us, it's a tricky thing right, because we didn't want to sell this capacity ahead of time, because we always want to make sure our launches and tests are 100% successful. So it's very frustrating to our salespeople, because they know it's coming. They start preparing the pipeline yet, they can't really sign contracts until we tell them go, right now you can sign the contracts. So the go is starting in May, and we expect that this incremental 30% capacity will be sold very quickly, right? So we -- because we are sold out on the other capacity. So we expect it to be taken up quite quickly. Our challenge as I said earlier is to make sure, we pick the best contracts for SES, which is not always easy with our clients right, because you want to serve every client successfully, but we will choose what's best for us. So that's what you'll see happening very quickly. And the same dynamic is going to happen over time. Now, regarding your question on signals from some of the European Union nations signalling that they want to build their national sovereign constellations, and how does that impact IRIS2? Again, I would refer you guys to this article that was published by -- I don't remember who it is that was talking about the German Ministry of Defense Bundeswehr talking about their architecture and how they want to do. And every nation Roshan, what we'll do, is we'll actually have a mix of things. And you can use the US as a blueprint right on what they've done. Every nation will try to build certain satellites that are specific owned by the nation, right? That will include European Union nations. And by the way, it exists today. Luxembourg has dedicated satellites, right that we manage and run for them. Spain does, France does. Germany does, UK, they all have today their own satellites there and they will continue to have that. That's part of the architecture. They also understand that is not enough. They cannot create the scale network and capacity and resilience and density that's needed by owning their own assets themselves. And again, the proxy is United States, right, which has a much bigger budget than many of these nations and have invested heavily over many, many decades in space. United States Space Force has declared that they need commercial capacity to augment their own capability in order to create resilience in their network and the demand that they need to fulfill that's not enough with their own satellites. The same thing will happen in Europe. And that article that I keep in mind because it's a very fresh article from yesterday, Germans, they lay out exactly what their architecture is going to look like and they say, they'll have their own satellites. They need three orbits, not one and they need desperately commercial capacity to be part of them. And in many instances, the sovereign nation-owned satellites will play a part as well, right? So I gave you an example of Luxembourg. There are others we have -- I'm not going to announce them because it's something for the countries to announce. Luxembourg is announced that they use our help and our competitors' help to build their own satellites and manage their own satellites as well. So keep that in mind. The IRIS2 continues to be a very important part and you could read the Germans in their article mentioned that IRIS2 is very critical of their overall architecture as well. That is going to be a constellation that the European Union has that all of these nations can use and augment that capacity and capability with all of the other networks that they have. And then the last point there on leases on the pro forma statement.
Sandeep Jalan: Yes. So, Roshan in summary, you are right, absolutely spot on in terms of thinking that this difference in the lease liability primarily arises from a different treatment of the cost of capacity right that Intelsat buys. Again, to make a long story short, there are differences in such accounting treatments between US GAAP on which Intelsat has been reporting its results to IFRS results, right on the basis -- accounting basis on which SES reports its results. So when we translate some of those contracts in the IFRS accounting, there is an impact of about $200 million, right? So in euro terms, about €180 million compared to the amount of lease liability that we had announced as part of the acquisition. And the counter is that, clearly, it benefits the cost of sales, right? So cost of sales goes down to that extent and the lease liability goes to the corresponding amount. So the cost of sales goes down by about €30 million or so and the counter comes in lease, right? The pro forma results more details are contained in the F-4. I encourage you all to look at. But in summary, long story short, there as well what you would see in adjusted EBITDA, there are several impacts, but the total impact is about €33 million lower IFRS revenues, lower EBITDA and that €33 million very importantly, it is all in noncash revenue and noncash EBITDA. So the noncash EBITDA from a US GAAP perspective was €175 million. And when you deduct this €33 million which is pertaining to the noncash EBITDA which also becomes lower in IFRS results, noncash EBITDA now in our consolidated pro forma results is not €175 million. It is €142 million. So again, it's the valuation it's a left pocket, right pocket. It doesn't impact overall. These are primarily accounting impacts or alignment to SES' accounting policies, right? More details are there, please have a look at it. We have also published a frequently asked questions more clarifications around that. Feel free to have more discussions with our Investor Relations team and I'm happy to jump on an additional call if needed.
Q – Roshan Ranjit: That’s great. Thanks so much.
Christian Kern: Thanks Roshan. Operator, do we have more questions, we've got a bit more time?
Operator: Yes, we did. [Operator Instructions] We will now move on to our next question from Stephane Beyazian of ODDO BHF. Your line is open, please go ahead.
Stephane Beyazian: Yes, thank you very much. A couple of follow-up if that's possible. The first one is on IRIS2. The cost for the plan capacity looks relatively higher if we compare to some other projects. And I truly understand that we cannot compare apples-to-apples here. But still there is a difference well to me. I was wondering if you see any room for revision in potentially the investment as you're moving closer to a closing of that agreement? The second question is more related to what's happening politically in the U.S. I was just wondering if you have any exposure to some of the let's say the cuts or the changes in the U.S. space budget. It seems that there have been some cuts lately and I was wondering whether you could have any exposure to that. And also somewhat related to that or not I was wondering if you have any sort of clarity or visibility on what Starlink is trying to achieve on the C-band? Thank you.
Adel Al-Saleh: Okay, very good. Can you just clarify question number two? So you said there's some exposure to some U.S. space initiatives. What--
Stephane Beyazian: [indiscernible]
Adel Al-Saleh: Sorry... Budgets or tariffs?
Stephane Beyazian: [indiscernible].
Adel Al-Saleh: Okay, very good. Thank you, Stephane. So, let me start with IRIS2. Look I'm not sure what data you looked at and you used to conclude that the costs are typically higher than other kind of investments. But clearly a more complex contract or setup that we currently have which is a public-private partnership contract requires more administrative capacity and capability. There's no question right? So, there are a lot of benefits of course for the PPP contracts. But with it comes certain costs right that you have to deal with it. However we have built a business case for IRIS2 with a very clear IRR requirement. And the way we structured the contract with the commission and our consortium partners that at the final what's called one checkpoint towards the end of the year beginning of next year we will be validating the cost the specs and the schedule of the contract. And if anything changes that does not deliver the required return on investment for our capital investments we have the ability to exit the contract. By the way so does our customer the commission if they don't like what the outcome is and so does the other consortium members can decide to do that. So, we're very strict about that Stephane. I mean we keep emphasizing the discipline we have instilled in ourselves on how to invest capital and how to look for returns and making sure that return on investment capital is where we need it to be right especially on these very large contracts. And that's how exactly we're going to behave right in a very constructive and a very focused way to find a solution. But if there is no solution or the solution is different and there may be a negotiation of how do we go forward. That's also possible. So, I want to reassure you that we have all of those different moving pieces under our control and in full understanding and transparency with our customers right and what needs to happen. Regarding to the potential cuts I have not read anything where there is very specific cuts to space investments except for things outside of the military areas, right? I've seen the NASA discussions, I've seen others, et cetera. We have not seen yet cuts that are specific in the projects. And let me rephrase that. There are certain projects, that we have already seen impacts on, right? USA as an example, which was a user of some capacity of satellites, as you know was under tremendous pressure. And as a result, we've seen that pressure translate into reduction of our spend or even cancellation of our spend. On the other hand, there are a bunch of projects that are also accelerating in their investments, right? So in aggregate when you look at the U.S. spend and focus and given our role that we play in the overall Department of Defense activities especially with our architecture and their deterrence of space architecture, we feel quite comfortable going forward right, without really knowing what could happen in the future as well. On the other hand the European spend, I think it was asked earlier, right? I think, Helima asked this question of, how do you see this right? We see the demand growing in Europe significantly. It's just not happening today. It's going to happen over the mid-term and long-term. So I believe if you look at aggregate, and the way we're positioned, we're in a good position right, even if there are more drastic reductions in the U.S. which I don't expect by the way, because President Trump is a big supporter and very focused on building up space capabilities and not falling behind. And we play an important part supporting the national security of the United States and the activities that they have. So that is as much I can tell you on that particular one. And then, clearly on your last question, Starlink is a very formidable and a very important competitor to us. And we see what they do. We see what they're doing in different segments. We see what they're doing with their next-generation satellites. We design our strategy to be competitive and to be relevant for our customers. And we feel very good about that, not just for the fact that alternatives are required and for resilience purposes you need multi-orbit. That is of course a very important factor. But we also want to make sure that our solutions are robust and they are a very good alternative for our customers. And we feel very good about that, especially as we bring mPOWER up, as we bring Irish Square up, as we launch the next-generation of software-defined GEO satellites that continue to play a very important role in many of the multi-orbit solutions. So we feel pretty good about where the dynamics are going. Hopefully, Stephan, I answered your question.
Stephane Beyazian: Yes. Thank you.
Operator: Thank you. And we'll now take our final question a follow-up from Nick Dempsey of Barclays. Please go ahead.
Nick Dempsey: Yeah. Thank you, guys. I've got one more. So just looking at the FCC's last meeting they were talking about a potential proposed rulemaking relating to spectrum sharing and particularly power limits particularly related to LEO. I just wonder whether that process could have any effects on your business in the U.S., positive or negative? What do you think the implications could be?
Adel Al-Saleh: And you said FCC, but I think you mean FCCT, yeah?
Nick Dempsey: I was attempting to say.
Adel Al-Saleh: Okay. So Nick, yes of course, we're very closely connected to all of these different rulings. And there's been already a ruling around how do you manage interference between the different NGSO and GEO constellations. Remember we play in both, right? So on one hand when it comes to EPFD rules and the power of the satellites and how do you manage the interference between you and your competitors we both sit at the GEO level. And we sit at the NEO level. And we're kind of in both camps of needing more power as well as making sure that we're not destroying our neighborhoods with GEO. So, so far U.S. is going through a very structured, a very transparent process in deciding on these things and everybody has a say, right? In terms of providing FCC our inputs and our views, and we have done so. And if you go back and look at our comments and filings, you can see where we are and how we are providing solid comments to the FCC et cetera. But we're also advocating Nick. What's important to us, because, look, we are global players, right? And there are just a handful of global players in the satellite business. We want to make sure that the environment globally is consistent and somehow logically connected. So if there are rulings that happen in the US around EPFD limits, but they are not followed by ITU or other countries it creates complexity for us right? Because now as you operate satellites and as you go over certain geographies you got to operate them in a different way, right? And then you have to architect the networks in a different way to accommodate the new rules. And by the way haven't spoken to the FCC. FCC also plays a very important role on a global stage, right? In coordination and in setting the rulings. And I think that will continue. I don't believe there is a path for FCC to suddenly rule in different ways. But they have their points of view. They have their views on how things should be done. So there's a lot of coordination, a lot of work. So far we've seen no impact on our satellite capabilities today or in the future based on what's happening, right? But we continue to be very diligent in making sure that we have a voice and making sure that we're connected to both our competitors who are our peers in the industry and as well as the other regulatory bodies. And I'll tell you we work very closely with Starlink in coordination, right? Especially, of these kinds of rules and because we operate together in space, right? So we have to have that ongoing relationship, same thing with Kuiper, same thing with Viasat, same thing with Eutelsat and others. And that will continue in our industry. That's how space works actually right? It doesn't work if there is no coordination and alignment between regulatory buyers. Thank you, Nick.
Operator: Thank you. That was our last question. I will now hand it back to CEO, Adel for closing remarks.
Adel Al-Saleh: Very good. Well, listen, thank you everybody. Thank you for the active questions. Thank you for following us. As you can see we had a good solid start for 2025. We have a very clear plan how we're going to execute the rest of the year. Very eager to get the transaction closed with Intelsat which we now expect to happen in early part of second half of 2025. We see a huge opportunity there to start very, very quickly integrate the company drive the synergies as quick as we can and continue to improve our top-line as a company. So with that thank you again for joining us and we look forward to the next conversation. Thank you.
Sandeep Jalan: Thanks everybody.
Operator: Thank you. This concludes today's call. Thank you for your participation. You may now disconnect.